Steven Gitlin: Good afternoon, ladies and gentlemen, and welcome to Core Scientific’s Full Fiscal Year 2021 Earnings Call. This is Steven Gitlin, Senior Vice President of Investor Relations for Core Scientific. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session after management’s remarks. As a reminder, this conference is being recorded for replay purposes. Before we begin, please note that on this call certain information presented contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include without limitation, any statement that may predict forecast, indicate or imply future results, performance or achievements, and may contain words such as believe, anticipate, expect, estimates, intend, project, plan, or words or phrases with similar meaning. Forward-looking statements are based on current expectations, forecasts and assumptions that involve risks and uncertainties, including but not limited to, economic, competitive, governmental and technological factors outside of our control that may cause our business strategy or actual results to differ materially from the forward-looking statements. For further information on these risks, we encourage you to review the risk factors discussed in Core Scientific’s definitive proxy statement filed with the SEC on January 3, 2022, and other subsequent filings we filed with the SEC from time to time, including our annual report on Form 10-K for the year ended December 31, 2021 and our current report on Form 8-K filed on January 24, 2022. As such, discussion may be updated or amended from time to time in our subsequent filing with the SEC. Our remarks today contain references to various non-GAAP financial measures, including adjusted EBITDA, which should not be viewed as a substitute for comparable measures presented in U.S. GAAP. For reconciliation of such measures to their most comparable U.S. GAAP measures, please refer to our earnings release. This afternoon, we also furnished a slide presentation with our earnings release, and posted the presentation on our website at corescientific.com in the Events & Presentations section of the Investors section of our website. The content of this conference call contains time-sensitive information that is accurately – accurate only as of today, March 29, 2022. The company undertakes no obligation to make any revision to any forward-looking statements contained in our remarks today or to update them to reflect the events or circumstances occurring after this conference call. Joining me today from Core Scientific are Chief Executive Officer, Mr. Mike Levitt; and Chief Financial Officer, Mr. Michael Trzupek. We will now begin with remarks from Mike Levitt. Mike?
Mike Levitt: Thank you, Steve. On behalf of the more than 250 employees at our company, we want to thank all of you for listening into our very first earnings call, and we want to welcome you to our call. Our team has built a rapidly growing and profitable business. We’re laser focused on executing our plan and on delivering results. We take a very long-term approach to our business. And although we’ve been developing large-scale blockchain infrastructure for over five years now, we believe that we’re still in the early days of our industry’s development. Our key messages today are our financial results are strong, we’ve developed market-leading scale in those short five years, and we’re well positioned to achieve our objectives. We’ve organized our remarks today around a few topics, who we are and what we do, our performance and Core Scientific’s outlook. At the conclusion of my remarks, we will be happy to take your questions. Over the course of today’s presentation, I’ll refer to the earnings presentation Steve mentioned that we have posted to the Events & Presentations page located in the Investor section of our website corescientific.com. Core Scientific is a financial technology company focused on developing and managing the infrastructure for our rapidly evolving financial system. We mined digital assets for our own accounts. We host and operate miners for our customers and we develop blockchain technology-based financial products. We mined more bitcoins and host more miners than does any other publicly traded company in the United States. In 2021, we mined more than 5,700 bitcoins for our own account, the most bitcoins ever mined in a year by a publicly traded U.S. company. In the first two months of 2022, we produced more than 2,000 bitcoins. At that pace, we’ll more than double our 2021 production. We held more than 7,000 bitcoins in our accounts as of the end of February. The infrastructure operations and proprietary software management system we developed supports both our self-mining and hosting operations. As of the end of February, we operated 7.7 exa hash of computing capacity for hosting customers. Our balanced self-mining and hosting business model provides a steady U.S. dollar revenue stream and cash flow from hosting through multi-year contracts with our customers and upside exposure to bitcoin price appreciation from our self-mining activities. We own our infrastructure. Our facilities include five data centers with additional centers in development. We prefer to locate our data centers in opportunity zones in proximate to non or low-carbon emitting power sources, such as hydroelectric, wind, solar or nuclear. Our data centers are geographically dispersed to mitigate the risk. A map showing the location of our facilities is on Slide 6 of the presentation. As I mentioned, we are a technology-focused company. We developed a proprietary software management system called Minder to monitor and manage the computers in our facilities. Minder flags computers performing outside of specified parameters, so we can power cycle them automatically, or dispatch an on-site technician to investigate further. The combination of Minder, our proprietary engineered facility designs and our trained technicians results in high miner uptime, maximizing productivity of our self-mining and hosting miners. Our Minder software, when combined with our other technologies, also gives us the ability to power down computers in any of our facilities to support the local electrical grid when required. For example, in the summer, when many homes and businesses run their air conditioning as a demand for power source, the local grid may need to shed power in order to avoid brownouts or turning on expensive, higher-carbon generating peaker plants. By powering down our operations, we help relieve pressure on the grid. Our ability to curtail power consumption rapidly and as needed by our power providers enables us to secure more favorable power contracts. It’s a way for us to be a good neighbor, and serve as a large energy buffer for the local grid and community. We believe in supporting local utilities as they balance the needs of their customers and seek to add more renewable energy to their grids. We believe that net carbon neutral operation is important for the communities in which we operate for our industry and for the greater good. We achieve net carbon neutral status by purchasing renewable energy certificates based on our consumption of energy from carbon emitting sources. In addition to our self-mining and hosting businesses, we also have a team of over 30 blockchain and financial technology experts who are developing innovative products at the intersection of blockchain finance and AI. Well, its financial impact is not yet material, we engage in network services such as staking and keeping to determine what innovative products and services may lead to the expansion of the blockchain ecosystem and to new business opportunities. With expertise in technology, data center operations, development, power, construction and financial services, we’re focused on creating long-term value for our shareholders. I encourage you to visit our website and review the credentials and background of our senior management and Board and of all of our team members. We have built a position at the leading-edge of blockchain technology and digital assets in a very short time, but we’re just getting started. Let’s now take a look at our financial performance. 2021 was, as I said, a year of strong results for our company. You can turn to Page 4 of our earnings presentation to see the highlights. In 2021, we generated revenue of $544.5 million, net income of $47.3 million and adjusted EBITDA of $238.9 million. We grew our total hash rate from less than 3 exa hash to 13.5 exa hash by the end of 2021. Looking at total 2021 revenue by segment, you can turn to Page 7 of the presentation. You’ll see our equipment sales were $248.2 million or 46% of revenue, digital asset mining $216.9 million or 40%, and hosting $79.3 million or 14% of revenue. This slide also shows segment revenue by quarter, illustrating our significant capacity ramped throughout 2021 and the favorable impact it had on our adjusted EBITDA. The increase in equipment sales revenue is driven by higher demand for new generation more efficient mining equipment. That said, equipment sales will become less significant in the future and self-mining and hosting will represent an ever-increasing share of our revenue. The increase in digital asset self-mining revenue last year was driven by an increase in our self-mining hash rate from less than 1.5 exa hash at the end of 2020 to 6.6 exa hash. The increase in hash rate resulted from investments in infrastructure and in new miners. In 2021, we mined a total of 5,769 bitcoins. At the end of 2021, we held 5,296 bitcoins. The number of held bitcoins increased to 7,355 at February 28 of this year. Hosting revenue increased in 2021 as a result of new customer hosting contracts for miners deployed during the year. Slide 8 provides detail of the quarterly and annual income statement items. Cost of revenue increased by $254.7 million from 2020 to $305.6 million. This increase was primarily attributable to an increase in the cost of equipment sold to customers and to higher power consumption driven by increased self-mining and hosting activity. Let’s turn now to our operating expenses. 2021 research and development expenses totaled $7.7 million, an increase of approximately 50% over 2020, driven by higher personnel and related costs. Sales, marketing, general and administrative expenses totaled $64.7 million, a threefold increase over 2020. This increase was largely driven by higher stock-based compensation, public company readiness investments, and higher personnel and related costs. Non-operating expenses, including interest expense, loss and debt from extinguishment and other non-operating expenses net totaled $68.4 million, an increase of $62.5 million from 2020. The increase in non-operating expenses was mainly due to higher interest expense related to several capital raises, including a senior secured credit facility and several equipment financing agreements and a non-cash accounting adjustment to fair value of our private placement convertible notes. Income tax expense totaled $15.8 million. Net income for 2021 was, as we mentioned, $47.3 million as compared to a net loss in 2020 of $12.2 million. 2021 adjusted EBITDA was $238.9 million, an increase of $232.9 million from 2020. Scaling our business requires capital. We’ve financed our growth and operations primarily through the sale of equity or equity-linked securities, debt, equipment financing and cash generated from operations. Total cash, cash equivalents and restricted cash was $131.7 million at the end of 2021. This total does not include the approximately $200.7 million in net cash proceeds received from the merger when we became a public company on January 20th of this year. The carrying value of the 5,296 bitcoins held as of December 31 was $224.8 million. Cash used in operating activities, investing activities and provided by financing activities totaled $56.7 million, $423.8 million and $603.5 million, respectively. During 2021, we entered into agreements to purchase digital asset mining equipment totaling approximately $584 million, of which, $326 million was paid as deposits for equipment scheduled to be delivered in 2022. This left a balance of $258 million for mining computers to be delivered in 2022. Our primary uses of capital are to purchase new miners and to build our data center infrastructure. Going forward, continued growth will require additional capital. We’re mindful of the dilutive impact of additional equity as we pursue opportunities to fund our continued expansion. An important element of our capital market strategy is to expand our flow to provide greater liquidity and trading volumes in our stock. We believe that enhanced liquidity will make our equity more attractive to large institutional public equity investors who require those higher trading volumes. Our Board’s recent decision to release the pre-public shareholder lockup was based on the desire to introduce existing shares into the market from our large number of longtime investors. Supporting our industry’s future, the President’s recent executive order is a welcome step forward in our view. Rather than rushing into adopting regulations or legislating new laws, the administration is first seeking to learn about the digital assets ecosystem and develop a policy framework for a broad interagency process. We believe this is a positive development, as the government generally regulates that which it seeks to preserve and foster. We look forward to continuing to add our voice to the process of producing sensible regulations that promote continued innovation and leadership in U.S. blockchain and technology development. Looking ahead, we’ve established for 2022 a few goals. First, profitable growth. We hope to maintain our leadership position in blockchain infrastructure and digital asset mining, our business is profitable and our scale provides us with the ability to remain profitable as the network hash rate in competition grow. Second, scaling our business efficiently. We regularly review our processes to find ways to operate more efficiently. Our ability to grow our hash rate and business requires constant focus on process improvement, training, and cost management. Third, investing in the development of new products and capabilities. The blockchain ecosystem is still at a very early stage and evolving rapidly. Our technology team is exploring products and services beyond mining and staking to evaluate areas of future opportunity and near-term investment. In terms of quantitative goals for 2022, highlighted on Slide 9 of the presentation, we anticipate year-end total hash rate of 40 to 42 exa hashes, split roughly evenly between self-mining and hosting. Our growth will not be perfectly linear as we continue to deal with global supply chain issues, but we believe that we can achieve our year-end objectives. We think that approximately 30% of our 2022 infrastructure development will be completed by the end of the second quarter. We remain comfortable with our previously stated 2022 goals illustrated on Slide 10 in our earnings presentation. We ended 2021 with a total of 13.5 exa hash. The midpoint of our 2022 hash rate expectation is 41 exa hash, leaving us with 27.5 exa hash to bring online by receiving, installing and activating new miners for our hosting customers and for self-mining. As of December 31, 2021, we had contracts in place for self-miners and hosted miners, representing 23.2 exa hash, or approximately 84% of our 2022 goal. Demand for our hosting capacity remains strong. We plan to continue providing monthly updates as we execute our plans. Additionally, we intend to post our daily self-mining totals on our website, beginning in early April. In closing, I’d like to thank my extraordinary, very hard working dedicated colleagues now numbering over 250. They have built an incredible company. Thank you to our customers and to those who possess the courage and conviction to invest alongside us in the very early days. Thank you and thank you to our shareholders. We’ll appreciate the value of the business we’ve built and see the potential of our company. We’re more excited about our future today than we have ever been, and we look forward to speaking with all of you as we continue this incredible journey. We will now take your questions.
A - Steven Gitlin: Thank you, Mike. We will now begin the question-and-answer session.  We respectfully ask that you limit your questions to two and please re-enter the queue to ask further questions thereafter.  And today, our first question comes from Chris Brendler of D.A. Davidson. Chris?
Chris Brendler: Thanks, Steve, Mike, Mike, congrats on the results. I only get two questions. I’m going to start one right at the top of my list. Thank you. Where do you stand today on cost of power? And what’s the outlook in general terms for next year, given what’s happening to natural gas prices? And I know there’s contracts in place to protect you from some of those things. But just it’s a big question that we get into investors lately. Thanks.
Mike Levitt: Sure. Given – you’re right, energy costs have been going up all over. We do have some natural gas in our mix of energy. You’re also correct that we have a number of agreements that do have limiters on energy cost. But of course, we’re also constantly renewing, extending and developing. That said, it’s probably fair to assume that energy costs will, just as inflation, has go up a bit. We would anticipate the range, roughly speaking, in the plus or minus 15% area, more or less. Does that answer your question?
Chris Brendler: Yeah, I guess so. I think we had a number of $0.035 in the original SPAC deck that was kind of like were anchored to. So is that the right base to think about 10% to 15% higher?
Mike Levitt: Yeah, I think that’s the right range to be thinking about.
Chris Brendler: Okay.
Mike Levitt: A quarter of magnitude.
Chris Brendler: Great. Okay. So I also appreciate the comments on capital, it’s probably a bigger question that I get from folks. And nice to see that not only do you have this much higher hash rate target for next year, but a lot of it’s already in place. I guess what are the options if you don’t want to issue equity? I’ve seen a lot of companies start to borrow off their bitcoin when you’re producing over 1,000 a month, that seems like the most attractive? Maybe you get Trzupek in here and give me an answer on what the capital strategy might be in the current environment.
Michael Trzupek: I’ll comment for a moment, but you’re right. In that, we certainly are going to look at the debt markets and there any number of ways to look into the debt markets. There was a big BTC-based borrowing transaction actually announced today, I think it was earlier today. But we also have the ability we believe to look at traditional debt markets, as you know, as we are a profitable EBITDA generative company. And so it’s fair to say that we intend to explore both the traditional debt markets in addition to some of the sort of newer technology, bitcoin-related financing alternatives. As you know, I’ve got a reasonably deep background in and around the debt markets. And so I think it’s safe to believe that our finance team is looking hard at all of the alternatives that we can utilize. We’ve also been very fortunate in the last six months or so we’ve been able to attract much more traditional asset back lenders to our business. And as such, we’ve been able to bring financing options in and around our hardware buys at what I would call normal, as opposed to usurious interest rates. And so we will continue to work that avenue as well.
Steven Gitlin: Thank you for your questions, Chris. Now we’ll move on to our next questioner. We’ll go to Greg Lewis from BTIG. Good afternoon, Greg.
Gregory Lewis: Hey, thank you, and good afternoon, everybody, and thank you for taking my question. I guess, Mike, you touched on it, obviously, the growth of your hash capacity isn’t going to be linear. I guess I have two questions around that. One is, I guess I’ll just – any guidance you can give us and how we should think about maybe Q2 versus Q3 versus Q4, I imagine it’s back-end weighted. Any kind of rough guidance you can give us there, and how you’re thinking about how hash rate progresses over the next few quarters?
Mike Levitt: Sure, Greg. So I want you to know that my comment in there about being approximately 30% complete through the end of the second quarter was just as a tip of my hat to you and a few other folks, because we thought you might want a little bit of guidance in that regard, right? So what that implies, of course, is that if we’re going to be 30% or so through it mid-year, that there’s another 70% for the back end of the year, right? And the back end of the year, it’s hard to say, but I think you’re going to be more or less on target we think if you kind of split that roughly 40/60, thereabouts third quarter, fourth quarter.
Gregory Lewis: Great. Super helpful.
Michael Trzupek: Remaining 70, I guess I got to do the math. So you’d be splitting it what do the math 28.42 or whatever, but thereabouts.
Gregory Lewis: Great, great, super helpful. And then one of the other things and congratulations on boosting your hash, I guess on the last update. There was a nice bump up and kind of your targets for year-end hash. One of the things that that we’ve been hearing is that some rigs that are making – actually making their way all to North – all the way to North America are sometimes being stranded as the – maybe the previous owner was – is unable to kind of plug those in. As we think about opportunities and maybe it’s what you’re already have, or what you’re already seen, as maybe the next wave of growth at core, are there opportunities to secure rigs already in North America? Are you largely just given your size already, are you largely just dealing with the producers in Asia of rigs?
Mike Levitt: No, it’s – actually it’s – your point is right on. And, in fact, we are on a modestly continuous basis shown opportunities to acquire rigs already, if you will, stay side. And that’s probably going to be a phenomenon that goes on for a little while here. The aggregate infrastructure build for the industry has gone slower than many thought that it would. The actual execution and delivering on infrastructure build is complex, not easy. And I give a lot of credit to Weston Adams and Gary Fife and Carol and the others in our power and construction team. Because they are really, really good at it. And others have realized how really, really hard it is to be really, really good at it. But what that delayed infrastructure development has resulted in is excess rigs, you’re right sitting on skids on loading docks, what have you. We have seen some of those, we’re very aware of, I’ll call it, offerings in the market. Our procurement and customer teams seem to see everything that’s for sale everywhere. And yeah, though, there’ll be opportunities. We – as we’ve said in the past, we’d like to be opportunistic about it. And right now, we’re pretty comfortable with where we stand. But as the charts imply, we’ve got a little bit of capacity, excess capacity now that we’ll see how it feels to offer people hosting. We’ll see how it feels to put some more miners in and we’ll adjust in whatever way we think is best.
Gregory Lewis: Great. Super helpful. Thank you for the color.
Steven Gitlin: You bet. We’ll now move on to our next question from Joe Vafi from Canaccord. Joe?
Joseph Vafi: Hey, guys, good afternoon. Congrats to getting – yep, can you hear me?
Mike Levitt: Yeah, Joe, we can hear you. Thank you.
Michael Trzupek: Hi, Joe.
Joseph Vafi: Yeah. Hey, guys. Hey, Mike and Mike and Steve, congrats on getting to your first call here. As public company, it’s a big milestone. I thought maybe we just kind of – yeah, you’re absolutely welcome. If we circle back to some of the the build out and you’re kind of also hearing that it’s not just miners, but on the infrastructure side, if you could give us maybe a more detailed update on how some of your new builds are going, I believe, North Carolina and Texas? And then I have a quick follow-up.
Mike Levitt: So, really our newest builds are in Texas. And as I think we have mentioned, and if not, I guess I mentioning it, our Texas facilities are we are up and running in Texas, in Denton. But we have some other developments that we’re working on that we hope to have running this year. The answer to your question is we are working hard to deal with the delivery or supply chain issues that we are all facing. The numbers that we put out, we of course, are very comfortable with our ability to achieve. It’s not easy getting steel anywhere in this country right now. But we feel good about our ability to get the steel that we need for our buildings. We feel very good about the electrical equipment. But again, to give credit to our power construction team, they were ordering the electrical equipment last year for our requirements for this year, which makes a big difference. We’re very high in the queue for the equipment that we need. So we feel very good about it. And we seem to be moving along at the pace we like I mean, of course, I wish that it was all built yesterday. Because we try to fill it up as fast as we can. But the schedule that we outlined on this call we’ve talked about previously, we feel good about. You’re right, or what you imply is correct, which is that we have anecdotally heard about significant delays in infrastructure development at other companies. We don’t know for a fact precisely what’s going on there, Joe. But we have heard about significant delays. And I made a little comment in my remarks earlier about the demand we’re seeing for hosting services. And for short part of that demand has been of the nature of hey, I thought I was going to be hosted here. But we’ll be ready for a while. You guys got any room for me? For sure, some of the demand is coming from delays in other infrastructure development and other companies.
Joseph Vafi: Got it. That’s helpful. Thanks, Mike. And then just as follow-up, you mean bitcoin spots rebounding, which was clearly a positive. But how – and I know you’ve got some efforts going on to overall diversify the business longer-term. Is there any update there on the kind of optionality that you’re starting to explore around the kind of broader digital assets ecosystem and through chain? Thanks a lot.
Mike Levitt: So there’s not really any detailed update beyond what I said, which is a generally we are participating a bit more actively in staking and keeping activities for other protocols, which has gone well and has resulted in some positive results so far. But it’s really – it’s kind of – it’s still too early to say. As I think I’d mentioned in some earlier comments and earlier conversations, was something we really wanted to get focused on once we got through this going public process. That was I mean, I got to say that I think that the job our team did to hit the results we did for 2021 well, being in the middle of this going public, these backing process that I vowed I will never ever take part in again, is extraordinary. But – so we’re really just getting more and more focused on that now.
Steven Gitlin: Thanks for your follow-up question, Joe. I appreciate it.  We’ll take our next question from Austin Vetterick from ROTH Capital Partners. Good afternoon, Austin.
Austin Vetterick: Hi. Thanks for taking my questions. Just had two quick ones for you guys. So Mike, you talked a lot about leaning in more towards either hosting or self-mining when it’s economically prudent. I’m just curious how you view that landscape now. And at what point you would start favoring one over the other? And how you kind of see those trend lines moving now as it relates to those pivot points?
Michael Trzupek: Well, so I would say that both right now are as attractive as they’ve ever been, in the sense that on the hosting side, infrastructure is scarce. And on the self-mining side, the margins are pretty strong. So they’re both very attractive. Of course, leaning in on the self-mining side requires capital formation. And so really, where we go, instead of how we balance the remainder this year, is going to be somewhat dependent on capital formation, our ability to raise capital. Because we can – it’s – it doesn’t require any more capital for us to agree to a profitable hosting agreement. It – then we – it will require more capital for us to acquire more machines. And so that’s the balance we have to look at. We’d like to see, frankly, the capital markets being a little bit more accommodating. As you all are very aware, there are some global conflicts that tend to dampen capital market appetites. And so although we believe we have access to the markets, we’re also very, very focused on dilution and on doing things that are very creative. And so how much we lean into more self-mining, we’ll have to do with availability of well-priced capital for sure. But as well as frankly, the cost side. Look, if there continues to be a glut of equipment sitting on loading docks every day that’s burning a hole in somebody’s pocket. And so it’s a balance of capital formation and cost. But on the return side, both hosting and self-mining look pretty good going forward this year.
Austin Vetterick: Got it. That’s helpful. And…
Mike Levitt: Yeah.
Steven Gitlin: Are you there, Austin? Looks like we may have lost Austin from the call. Let’s move on to our next question, which comes from Lucas Pipes at B. Riley Securities. Lucas, have a good afternoon.
Lucas Pipes: Hey, good afternoon. Hey, thanks very much for having this call. This is super helpful. Really appreciate it and congrats on being public. Great to see you in the public markets. Great work.
Mike Levitt: Thank you.
Lucas Pipes: I wanted to speak a little bit on – ask you a little bit about hosting fees. You commented on the shortages. How is this ricocheting through what is commercially feasible? Is – are you looking for greater equity stake or kind of revenue share or longer tenure? How is this translating into the hosting fees, the shortage?
Michael Trzupek: A great question. The answer is that the answer is yet to be determined in the following sense. So what I can tell you is we’re absolutely thinking creatively about it, right. One, we’re quite certain that just the U.S. dollar revenue sort of charged hosting fee. We can charge a higher price for our hosting services right now than we have historically been able to charge, that is of that we’re quite certain and we have customers that are requesting it and understand that the prices need to be to go up. But of course, as we discussed earlier, energy prices have gone up a little bit, too. So we know that. But your question is really interesting, in the sense that we’ve also tasked Russell into Dass  and Jeff in our customer success team, as we call it, to think creatively about how we can do things that are really good for our customers and really good for us. And I don’t know if that’s going to lead to hash rate sharing, or profitability sharing arrangements. But I can tell you that it is quite topical for our team right now. And that we are doing serious work on how we move our hosting business forward this year and under what kind of terms.
Lucas Pipes: Interesting. Very interesting. Helpful. Thank you very much, Mike. And…
Michael Trzupek: Thank you.
Michael Trzupek: My second question is on the M&A side. We’ve seen a proliferation in the space and you’re clearly a leader, kind of both with your scale and scope in the market, and how do you look at the landscape, Mike, over the next 12 months or so? How do you think M&A opportunities might open up?
Michael Trzupek: I think that a lot is going to be determined over the next 12 months. Last year, there was a period of extraordinary capital availability to anything that began with the word bitcoin and/or defy or digital asset. And it’s going to be very interesting to see how those capital flows are the coming 12 months. There are and you guys would know better than me, but there are at least 20 companies that I know of that wish to go public, that hope to go public. But I suspect 75% of them won’t be able to. There are a lot of companies that are in need of capital, whether it’s to fulfill commitments on miners they’ve ordered, but haven’t fully paid for or on infrastructure, they said they were going to develop, but haven’t fully developed. And so if that capital is not flowing, yeah, I think that we’re going to have the opportunity to do some very accretive things. If that capital is flowing, I mean, we’re not going to compete on a lowest cost of capital basis. We’re going to do things that make money for our shareholders. If I were a betting man, I’d probably say that I think that there are going to be opportunities, because I think the capital flows are going to be more discriminating over the course of the next year. So I do think there’ll be opportunities, but a lot depends on that one aspect.
Steven Gitlin: Thank you, Lucas. We appreciate your question.
Lucas Pipes: Appreciate it. Best of luck.
Mike Levitt: Thank you.
Michael Trzupek: Thank you.
Steven Gitlin: We have no further questions at this time. If you have any additional questions, feel free to e-mail us at ir@corescientific.com at any point. We thank you for your attention and for your interest in Core Scientific. An archived version of this call, all SEC filings and relevant company and industry news can be found on our website, corescientific.com. We wish you a good day, and we look forward to speaking with you again following next quarter’s results.